Operator: Welcome to SunTrust third quarter Earnings Call. (Operator Instructions) I'd like to introduce your first speaker, Mr. Steve Shriner, the Director of Investor Relations.
Steve Shriner: Welcome to SunTrust third quarter earnings conference call. Thanks for joining us. In addition to the press release, we've also provided a presentation that covers the topics we plan to address during our call today. Slide two outlines the content, which covers an overview of the quarter, financial results discussion and an in-depth credit review. Press release, presentation and financial schedules are available on our website. This information can be accessed by going to the Investor Relations section. With me today, among other members of our executive management team, are Jim Wells, our Chief Executive Officer, Mark Chancy, our Chief Financial Officer and Tom Freeman, our Chief Risk Officer. Jim will start the call with an overview of the quarter, Mark will then discuss financial performance, and Tom will conclude with an in-depth review of asset quality. At the conclusion of the formal remarks, we'll open the session for questions. Before we get started, I need to remind you that our comments today may include forward-looking statements. These statements are subject to risks and uncertainties and actual results could differ materially. We list the factors that might cause results to differ materially in our press release and SEC filings which are available on the website. Further, we do not intend to update any forward-looking statements to reflect circumstances or events that occur after the date the statements are made and we disclaim any responsibility to do so. During the call, we'll discuss non-GAAP financial measures in talking about the company's performance. You can find the reconciliation of these measures to GAAP measures in our press release and on our website. Finally, SunTrust is not responsible for and does not edit or guarantee the accuracy of our earnings teleconference transcripts provided by third parties. The only authorized live and archived webcast are located on our website which is www.suntrust.com. With that, I’ll turn it over to Jim.
Jim Wells: Thanks for being with us this morning. The results we are going to discuss this morning continue to reflect the difficult operating environment faced by more traditional banks. Continued recession related earnings pressures, including higher credit costs and write downs, softer fee income and generally weak loan demand culminated in the $0.76 per share loss we reported this morning. I will point out that $0.16 of the per share loss is related to changes in the market valuation of SunTrust’s public debt as credit spreads narrowed, reflecting an improved [view] of SunTrust’s credit quality. We are not happy to report a loss, but much like last quarter, there is more in our earnings story. We are encouraged by some core business trends that have recently emerged as we look toward the prospect of an improving economy. Specifically, an expanded net interest margin, lower core operating expenses and importantly a decline in nonperforming loans and stable early stage loan delinquency levels, all give us reasons to be tentatively optimistic about the direction the operating environment is headed and what that might mean for our markets, for our borrowers and for our businesses. As is typical in a recession overall revenue remains soft with stable net interest income and lower noninterest income. Net interest income was stable as net interest margin expanded due to a significant increase in client deposits as well as an improved mix that enabled a reduction in higher cost sources of funding. Loans and earning assets declined more rapidly than in previous quarters, offsetting the benefit of the higher margin. What we are seeing is the sustained economic weakness has reduced the demand for loans as many clients have focused on capital preservation and debt reduction and many have also accessed the debt markets. Additionally, overall fee revenue was soft, reduced consume spending was evident in the decline in many fee-related sources of income, although investment banking income increased due to higher capital markets activity. The result of disciplined expense management was evident across controllable operating expenses again this quarter. We continue to capitalize on the strength we have built in this area as we remained focused on continually uncovering efficiency improvement opportunities. However, post cyclical costs including mortgage and reinsurance reserves, other real estate, FDIC pension cost, unfunded commitment reserves and credit and collection costs all remained high. On the asset quality front, provision expense increased 18% due to high credit losses. On the other hand, we are pleased that early stage delinquency and nonperforming loans were stable. However, for the time being, we expect credit losses to remain elevated. What it comes down to is that we are encouraged by some positive core business trends that are emerging in these signs of an improving economy. At the same time, we remain responsibly cautious in our optimism. In our view, it would be premature to declare a broad victory over recessionary pressures or to start talking about turning corners about hitting a bottom and the like. The environment remains very challenging and our approach to our business remains prudent, conservative and balanced. We recognized that the beginning of a recovery is just that, it's a beginning, and history tells us that looking over the longer term, it will take time before economic stabilization meaningfully translates into bottom-line results for traditional balance sheet. Asset quality, revenues and ultimately earnings improvement will need time to gain traction and the timing will be largely dependent upon the pace and the strength of the recovery, both of which remain as open questions. While the nature and timing of economic recovery is an open question, we are confident that our actions to bolster capital, liquidity and reserves leaves us with substantial resources that we expect will allow us to successfully manage through sustained economic weakness if that in fact occurs. Meanwhile, looking to the balance of 2009 and 2010, we are acutely focused on the client on improving service quality and frontline execution, while controlling expenses and managing risks. I believe we are doing a good job here controlling what we can control, and taking advantage of the opportunities that are out there, even in the current environment. The positive results of our efforts are reflected in various aspects of our core performance over the last few quarters. Our continued success in these areas will permit us to deliver steadily improving results as the operating environment improves. Turning to slide four, I’d like to spend a moment discussing our capital position, before turning the call over to Mark. Slide four illustrates our significant capital position with or without TARP, and our book value per share. We maintain a solid capital with an estimated tier one common ratio of 7.45%, and a tier one ratio of 12.55. Box value and tangible common equity remained relatively stable this quarter. Given our current capital and liquidity, we are well positioned to repay TARP when regulatory approval is received. Before I turn the call over to Mark, I'll conclude by emphasizing a point that I have been making for several quarters that remains both valid and timely in light of our third quarter results. SunTrust is well positioned to deliver steadily improving returns, as we move beyond this cycle. Our long term focus is centered on growing revenue, improving expenses efficiency, increasing the profitability of our balance sheet, investing for the future, and prudently managing credit. Our strong foundation coupled with our client focused execution, risk mitigation capabilities and the long-term economic prospects of our markets all augers well for the future. The SunTrust team is focused on serving our clients and delivering the results that will ultimately translate into improved shareholder value, as we move beyond this cycle into a better operating environment. I'll now turn the call over to Mark to provide details on the financials.
Mark Chancy: I'll begin my comments today on slide five of the earnings presentation, with the summary income statement. For the quarter, we posted a loss in common shareholders of $377 million, or $0.76 per share. The reported results included $0.16 per share of market evaluation losses on our public debt, carried at fair value, as SunTrust debt spreads improved during the quarter. On a year-to-date basis, the loss to common shareholders is $3.41 per share and $1.69 if you exclude the impact of goodwill impairment which was reported in the first quarter of 2009. As Jim indicated, our financial results continue to be dominated by credit losses, per cyclical expenses and to a lesser extent soft revenue generation in certain units. While we are not satisfied with these results, there are some positive operating trends that I will point out. Margin and interest income increased, deposit mix continued to improve even as client deposit growth moderated and expenses declined. On the other hand, recessionary pressures continued to weigh on loan volumes and non-interest income. I will cover each of these areas in more detail in just a minute. There were also a number of special items in the quarter. We have provided schedules in the presentation and the appendix to simplify the review, and I'll discuss some of the more significant items in my remarks this morning. Now I'll shift to slide six and the balance sheet summary. Overall, as you can see, average loan balances excluding non-accruals declined 4% and 7%, as compared to last quarter and last year respectively. Our aggressive effort to reduce exposure to construction lending continued in the third quarter, as evidenced by the 16% decline in balances versus last quarter and the 48% decline compared to last year. The majority of the overall decline in loans, though, came from the commercial loan category, which declined over $3 billion or 8% in the third quarter. This reduction continued the trend of declining line of credit utilization among our mid-sized and larger corporate clients due to improved access to capital markets and lower working capital needs. For example, our large corporate client line utilization has dropped from an average of 34% in the fourth quarter of last year, to approximately 25% during the month of September. Most other loan categories displayed small increases or declines, as demand from qualified commercial and consumer borrowers remained sluggish. Moving onto the deposits at the bottom of the slide, where the opposite trend is occurring, as deposit volumes and mix continued to improve. The pace of growth and deposits moderated as expected, however average consumer and commercial deposits increased another 1% this quarter relative to last, and are now up 14% versus last year. Please note that unlike last quarter, where all products showed some growth, this quarters’ growth continued in transaction accounts, while average CD balances declined. We noted the beginning of this trend last quarter looking at monthly data, and we have continued to manage our CD pricing carefully, due to our increased liquidity position. Similar to client related CDs, we further reduced, brokered and foreign deposits in the quarter, such as these shorter term and generally higher cost funds are now down over $10 billion or 67% compared to the same quarter last year. In addition to refining and lowering the cost of our funding profile, our current liquidity situation enabled us to take certain actions which resulted in an increase in our securities portfolio. Please turn over to slide 7, I'll give you more detail. The portfolio continues to be concentrated in high quality and very liquid securities. Government and agency securities in the first four rows comprised over 80% of the portfolio, and as a reminder, the other equity holdings are largely coke stock, Federal Reserve and federal home loan bank stock. You will note that we increased our holdings of U.S. treasury and agency securities by over $4 billion in light of the increased liquidity that higher deposit and lower loan balances created. You can also see the agency mortgage-backed securities declined by roughly $2 billion. This decline was related to sales later in the quarter, where we had the opportunity to manage the portfolios’ duration by selling bonds at a gain and repositioning the mortgage-backed portfolio into securities that we believe have higher relative value. At this time, we have substantially completed a repurchase of similar securities, and we will continue to look for additional opportunities in the fourth quarter. I'll now take a minute to cover the margin on slide eight. Margin expanded again this quarter, increasing by a better than expected 16 basis points to [3.10]. Lower deposit pricing and improved funding mix drove the expansion, with increased core deposits facilitating a reduction in higher cost deposits and long-term debt. While we were expecting margin expansion, we were pleasantly surprised by the relative change in earning asset yields versus deposit rates, the continued shift and mix to lower cost deposit products and importantly, stabilization of nonperforming loans. Our view of the margin-related risks and opportunities in the fourth quarter is largely unchanged from last. Loan and deposit pricing provide the primary opportunities for an expanding margin, as significant additional deposit growth and product mix shift seems less likely the remainder of the year. The primary risks include the possibility that loan balances will continue to decline or that nonperforming loan growth will resume. Netting the pluses and minuses, our guidance on future net interest margin is also largely unchanged from last quarter. We believe margin will remain relatively stable in the short run with some modest additional expansion possible during the remainder of the year. I really do want to emphasize the words relatively stable and modest for the fourth quarter outlook, as the risk and opportunity appear to be balanced at this time. Let's move to slide nine in the provision expense. Tom is going to cover credit in detail in a minute so I'm going to be brief here. Total provision expense for the quarter was $1.1 billion up $172 million from the second quarter, with more than all of this increase driven by charge-offs. Net charge-offs increased to just over $1 billion, up 26% from the second quarter level to 3.3% of loans. Provision of $128 million was reported in excess of net charge-offs in the quarter to build a loan loss reserve to just over $3 billion or 2.6% of loans. Excess provisions to build the reserve has declined in each of the last three quarters as leading asset quality indicators have been largely improving or stable. Let's move to non-interest income on slide 10. Reported non-interest income growth was down 28% and 40% as compared to last quarter and last year respectively. However, after adjustments for a number of items in each quarter, non-interest income declined 9% and 15% respectively. There are a lot of positive and negative adjustments so we provided the underlying detail in the appendix of today's presentation. The largest adjustment to the third quarter results was $131 million evaluation loss on our fair value debt as I’ve mentioned earlier as SunTrust’s credit spread narrowed again this quarter. We also adjusted for a net gain on the sale of securities of $47 million related to the repositioning of the mortgage backed securities portfolio. Even after the adjustments though, non-interest income was down approximately $80 million versus last quarter, and the majority of the decline occurred in mortgage production income. Volume did contribute to the decline with closed volume dropping over 30% and application volume declining by over 40%. However, over half of the decline in production income is due to a $136 million impact from mortgage repurchase reserves, which was up $74 million relative to the second quarter. While repurchase requests have been volatile and hard to predict, agency request volume and loss severity increased significantly in the third quarter, and as a result, we increased our reserves to reflect the higher current run rate of such losses. Moving to mortgage servicing income, it appears to have declined significantly on the face of the income statement quarter-over-quarter. However, adjusting for the recovery of temporary MSR impairment reported last quarter, mortgage servicing income actually improved as the performance of our fair value MSRs and related hedges was neutral to the income statement as compared to modest underperformance last quarter. Coming off of a record second quarter level, we also reported another strong quarter for investment banking fees in both debt and equity capital markets, due primarily to strong origination volumes in both areas. While core trading account profits and commissions declined sequentially, driven in large part by results in equity derivatives and fixed income sales and trading in the third quarter, revenues were up significantly from the third quarter of last year. Performance in most other non-interest income categories was acceptable with stable to higher revenues versus the second quarter reported in most other categories. However, overall non-interest income continues to be soft in investment related areas such as trust income and retail investment services, as well as in service charges on deposit accounts as higher balance depressed business and consumer fee income. Now, turning to slide 11 and non-interest expense which continues to be a good story for SunTrust. Non-interest expense declined 14% when compared to the third quarter of last year and 6% compared to last quarter. On this slide we have adjusted out some items that are detailed in the appendix and the larger items include last year's contribution of Coke stock to our charitable foundation, and last quarter's FDIC special assessment. The primary adjustment in the current quart is a $31 million write-down of our investment in certain affordable housing properties. So, excluding these items, expenses are down over 4% compared to the same quarter last year and down 1% quarter-over-quarter. Even though these numbers are positive at face value, there are a few items impacting the comparison that warrant additional explanation and are listed in the lower section of the slide. Let me explain the schedule. The total year-over-year decrease in adjust expense is $63 million. As you can see, the sum of the three lines below the $63 million is a decrease of $14 million, and therefore the expense decrease net of these drivers is the $49 million at the bottom of the schedule. Now, what we want you to understand is that core expenses that are pro-cyclical and seasonal in nature are impacting the expense comparison. The conclusion of the year-over-year analysis is that the decrease in credit related costs of $67 million was partially offset by higher FDIC and pension costs, and therefore net of all remaining expenses declined $49 million or 3.4% of the adjusted third quarter 2008 level. The conclusion of the sequential quarter analysis is a little different, in that sum of the drivers is an increase in expenses and that the net of all remaining expenses of $24 million equates to a decrease of 1.7%, which is largely driven by lower personnel expense. Overall, core expense management continues to be strong as we move through this period of time in 2009. What I’d like to do now, if you look at a couple of extra items in the third quarter that are worth additional commentary. The first is a decline in FDIC expense this quarter versus last. In anticipation of higher rates, we increased our accrual upward for this expense earlier in the year and now with greater clarity we had an adjustment downward for lower than originally anticipated assessment rates. Given current deposit levels and assessment rates, and barring unforeseen circumstances, we expect the FDIC premium expense line item to roughly return to approximately $70 million quarterly run rate in the near term. Secondly, we have added a line to our list of credit related costs this quarter; unfunded commitment reserves. This item rolls into the other expense line in our financial statements. In the third quarter, we recorded a $29 million expense to increase this reserve for binding off-balance sheet commitments compared to a small decrease last quarter and a $16 million increase in the third quarter of last year. The increase in reserve requirements this quarter is due to a few larger corporate borrowers and some migration in risk ratings in the portfolio. So, before turning it over to Tom Freeman, what I would like to do is summarize the company's results during the quarter. SunTrust capital and liquidity positions improved, net interest margin expanded, and deposit mix was further enhanced, and certain fee areas were strong. While charge-offs were up in line with expectations, delinquencies were relatively stable and NPAs declined during the quarter. We recognized that loan demand in certain fee income categories continued to be soft and that the economic environment remains uncertain at this time as Jim said. However, there are components of our results for the quarter which gives us encouragement as we move into the fourth quarter and into 2010. Now, with that, I will turn the call over to Tom Freeman to go over our asset quality results.
Tom Freeman: Thank you, Mark. This morning I'm going to review our asset quality beginning on slide 12. Charge-offs increased by roughly $200 million to 26% compared to last quarter. Expected increases in the construction, mortgage and C&I portfolios drove the majority of the growth. Last quarter during the call, we noted some positive signs in certain areas. This quarter, in addition to early stage delinquency remaining stable, nonperforming loans and nonperforming assets declined slightly compared to last quarter. Nonperforming assets declined by $70 million dollars compared to an increase of $919 million last quarter. Decreases in most categories were partially offset by small increase in residential mortgage nonperformers, although we had an absolute decline in the dollar level of nonperforming loans and assets. The corresponding ratios to total loans increased due to a decline in loan balances. The denominator effect also tempered the early stage delinquency ratio. Overall dollars 30 to 89 days past due declined $124 million or 6.5%. The past due ratio to period end loans only decreased two basis points to 1.52%, as loan balances declined over 5%. If loan balances remained constant, the decrease in delinquency would have been eight basis points or 1.44% rate. We increased the allowance to 2.61% of period end loans in the quarter for an overall increase of 24 basis points. Provision exceeded net charge-offs by $128 million. This is the third consecutive quarter of a slowing pace of dollar increases to the reserve, and a trend that is likely to continue next quarter, as long as delinquency and NPL trends remain in place. Please turn to slide 13 for review of the loan portfolio. Asset quality issues remain primarily residential real estate related, including residential mortgages, home equity products, residential construction and construction to firm. Commercial charge-offs increased in the third quarter as expected, given the growth in NPL’s last quarter. We are seeing some increased stress in our overall C&I portfolio. However, the stress is still most evident in a small number of larger credits in more cyclically sensitive industries and in our small business portfolio. Early stage delinquencies were down, although the delinquency ratio did drift upward due to the decline in portfolio allowance. Despite the difficult economic environment, the portfolio performance remains adequate. The commercial real estate portfolio also continues to perform reasonably well overall. Our net charge-off ratio increased this quarter, the dollar increase was only $18 million. Of this amount, the majority was related to [one loan] secured by an owner-occupied property to a manufacturer supplying the auto industry. Asset quality is similar to last quarter in the consumer direct and indirect portfolios. Charge-offs increased by a relatively small $11 million combined in these portfolios. Federally guaranteed or privately insured student loans caused an uptick in the direct portfolios early stage delinquency while the indirect auto portfolio saw delinquency decline. Please also note that our exposure to credit cards is quite small, less than 1% of the portfolio and only half of it is consumer cards. I am going to talk about each of the higher risk residential real estate secured and construction portfolios in detail in a moment. So for now I will summarize. Home equity performance was basically stable in the quarter. Charge-offs in the residential mortgage portfolio increased 20% due to higher severities coupled with a higher volume of completed foreclosures. Construction charge-offs nearly doubled to $157 million this quarter as we completed more workout foreclosure efforts. Next, I will discuss a number of our portfolios in more detail, beginning with a commercial and industrial or C&I portfolio on slide 14. Our C&I portfolio is well diversified by industry, client segment, geography and collateral. Losses to date in this portfolio have come primarily from smaller businesses and a handful of larger clients in more cyclical industries, including construction, media and automotive related sectors. You can see in the top right breakdown that the small business clients comprise 5% or less than $2 billion of our C&I portfolio. On the other hand, large corporate makes up 32% of the book while commercial lending is 39% of the portfolio. In spite of the concentration of the large corporate and commercial, the portfolio is quite [granular] with an average outstanding of less than $1 million per loan. Within our corporate and investment banking segment, we have specialty practice teams targeting certain industries nationally. Loans to these clients are typically one aspect of the overall relationship and are typically unsecured shared national credits. Last quarter, we commented positively on our shared national credit exposure, and Jim recently said in an industry conference that we had received the exam report and expected no significant negative impacts as a result. We have now had a chance to analyze the report more closely and the exam had no material adverse effect as we previously indicated. Overall, the C&I portfolio continues to perform reasonably well, given the environment. We have seen migration in risk ratings, it has mostly been associated with a limited set of cyclical industries, including those linked to construction, auto dealers, specialty retailers, and advertising based media firms. If you'll turn to slide 15, I'll provide some details on our commercial real estate portfolio. I noted earlier that our commercial real estate portfolio had continued to perform adequately so far in the cycle. While I'm not able to tell you what the future holds in terms of absolute performance in this portfolio, I can tell you that we believe this business will continue to perform adequately. One of the reasons for this view is our commercial real estate portfolio is largely owner-occupied. Rental revenue from the property is not the primary source of debt service; rather the underlying business service is the debt. I will focus the rest of my comments on the investor-owned portfolio. Looking at the information on the right hand side of this slide, our investor-owned portfolio is well diversified by borrower, geography and property type. The portfolio was conservatively underwritten at origination. Historically, we’ve taken a more traditional view in underwriting as compared to those who underwrote for the CMBS structures. Additionally, the vast majority of our investor loans have (inaudible) relationship clients. Our largest geographic concentration is in the Mid-Atlantic states while the smallest is in Florida at 18% of the investor book. The portfolio is quite granular. The overall portfolio has an average loan size of roughly $700,000 while the investor-owned portfolio distribution displayed here as a $1 million average loan size. You can see on the far right that we have 12 loans exceeding $30 million. The largest loan is a $54 million office building in which SunTrust is the largest tenant. While the other loan over $50 million is an office building that is currently 99.6% leased. The two largest investor-owned product categories retail and office are also granular with average loan sizes of $1.4 million and $800,000 respectively. Our typical retail project is an [anchor strip] center within our footprint in the suburban location. We do not typically finance large urban office projects or regional malls. Finally, in the multi-family category, the average loan size is $1.1 million and projects in Florida represent only 15% of the total. We do not typically finance large urban condo or rental projects. The current environment has resulted in ratings migration within the investor-owned portfolio. To-date the migration has largely occurred within the past [grades]. In summary, our selection of relationships, our underwriting at origination, project selection, diversification and the granularity of this portfolio support our belief. This portfolio will perform comparatively well. Please turn to slide 16 and an update on the mortgage portfolio. The residential mortgage portfolio continued to perform poorly, with an analyzed charge-off ratio of 4.9% this quarter. However the slow pace of deterioration we noted last quarter continued this quarter, with lower growth and non-accrual balances and stable levels of delinquency. As we have noted in the past, loans in Florida comprise roughly a third of the mortgage portfolio that are contributing well over half the asset quality issues. Balances in most of higher risk portfolios continue to run off this quarter. For delinquency, both 30 to 89 and the 60 plus buckets improved in the core portfolio, and increased in the other products. We believe continued recessionary pressures on homeowners and seasonality are the primary catalyst for increased delinquency in the non-core portfolios. The same issues are impacting the core portfolio. However, the higher quality nature of the portfolio and our own increased modification efforts are likely mitigating factors. In summary, we are pleased that the deterioration is slowing and perhaps even [stabilized], suggesting that the frequency of losses may moderate. However, our expectation that weakness in jobs and incomes in our markets will continue, and then home values will decline further in Florida, suggest that loss severity may increase. The net of these impacts on our outlook for mortgage and asset quality is that we expect the level of charge-offs will remain elevated for at least the next two quarters. Moving to home equity lines on slide 17; home equity credit performance is for the most part driven by the highest (inaudible) segments in the program portfolio; lines originated by third parties and lines in Florida exceeding combined loan to value of 80%. These two segments account for just 22% of our balances, which generate a disproportionate share of losses. Balances continue to decline in the higher risk segments, as they are in run-off with little or no line availability and no new production. Overall, this portfolio displayed stable or better charge-offs and non-accrual metrics in nearly all segments. However, early stage delinquency increased modestly, suggesting that losses will remain elevated, at least in the short run. If you turn to slide 18, I will talk about our construction portfolio. As expected, and continuing a multi-quarter trend, construction balances declined 10% in the third quarter, and now comprise just 6% of our loan portfolio. Construction to perm loans continue to decline and the portfolio is stabilizing. Compared to the second quarter, balances, delinquency and non-performers decreased. This portfolio is now $730 million recently underwritten and stable portfolio, and a $300 million workout portfolio, which has been heavily charged already. Residential builder charge-offs increased significantly in the quarter, as we continued to work the portfolio through foreclosures and workouts. As a result, nonperforming loans declined slightly. However, non-performers remain in excess of $1.1 billion and slightly over a third of the portfolio. Even though delinquencies declined, we expect elevated charge-offs in this portfolio, to continue as we complete workouts over the next couple of quarters. Credit performance in the commercial construction portfolio remains acceptable overall. Charge-offs and delinquencies increased modestly in the quarter, and nonperforming loans remained stable at approximately $130 million. Please turn to slide 19, for an update on allowance and nonperforming loans. We have stated many times that our reserve methodology is fundamentally focused on estimating incurred losses. We have further said that allowance coverage of nonperforming loans is simply not an input or consideration in the process of setting the reserve. However, the allowance of nonperforming ratio is a commonly used metric, and therefore we provided this disclosure slide last quarter and have updated it this quarter. As a reminder, this slide incorporates the analysis of residential mortgage NPLs that is included in the appendix of today's presentation into a framework that includes our FAS 114 reserves. Result of this analysis is that allowance coverage of nonperforming loan increases from 57% to 109%, when you factor in the impact of mortgages that have been written down and loans with specific reserves. A table of the FAS 114 reserves for commercial loans by business is also included on this slide. We have included this detail to provide you some perspective on the level's specific reserves and implied severities for our larger impaired loans. While overall implied severity varies by business segment, the average is 36%. Please turn to slide 20 for a brief discussion of our mortgage modification efforts and resulting Troubled Debt Restructures or TDRs. Two facts are readily apparent from this slide. The first is the pace of mortgage restructuring has increased, and the second is that most of the growth is in the accruing category. I'm going to spend a couple of minutes talking about our modification efforts and results. I want to be clear that my comments only relate to SunTrust-owned portfolio. At the end of the third quarter, accruing TDRs total $1.3 billion, up almost $420 million or 45% from the second quarter; non-accruing TDRs were $677 million. The vast majority of our TDRs are residential mortgage loans. Modifications are increasing because SunTrust tries to avoid a foreclosure and subsequent liquidation sale if at all possible. We are aggressively pursuing modifications when there is a reasonable chance that the modification will allow the client to continue serving the debt. When there has been a loss of income such as that the client cannot reasonably support even a modified loan, we are strongly encouraging short sales and deemed (inaudible) arrangements. New mortgage modifications during the third quarter totaled roughly $560 million, most of which are classified as TDRs. But at the third quarter modifications, 59% were for still accruing loans, while the remaining 41% were seriously delinquent loans in non-accrual status, where they will continue to be reported until they go through the cure period. In the third quarter, over 80% of our new mortgage modifications included both reduced rates and term assess extensions. Another 8% of our third quarter modifications were converting arms to fixed rate loans for clients unable to refinance in a traditional fashion. Obviously the key measure of success with modifications is a re-default rate. Before I go further on this topic, I will caution there is no standard definition of re-default, and that comparative industry data is scarce and dated. However, when we compare SunTrust results to OCC data reported through the fourth quarter of 2008, our performance was somewhat better than the OCC aggregated data. Our own recent performance tracking shows that our more recent modifications are performing better than modifications made prior to 2009. Final discussion point on this topic relates to the requirement to establish FAS 114 reserves for TDRs. Our FAS 114 reserve at [9.30] for TDRs was $226 million. In addition, we have already recorded $97 million in charge-offs on the non-accruing TDRs. I will summarize key points from today's credit update before turning the call back over to Steve. Please turn to slide 21. Overall, credit quality remains weak, while increases in construction, mortgage and C&I charge-offs occurred as anticipated. We are pleased that delinquency and nonperforming assets remain stable. We continue to work through inherent risk in the home equity, residential mortgage and builder portfolios. We are making progress in these higher risk portfolios. The allowance for losses increased to 2.61% of loans due to provision in excess of charge-offs of a $128 million and declining loan balances. Improvements in delinquencies and nonperforming loans in the quarter are encouraging relative to future losses. Overall, our outlook is for elevated credit losses in the near term, with the possibility that improvement will begin at some point in 2010, depending on the strength and the pace of economic recovery. Specifically for the fourth quarter, we do not expect a significant increase or decrease in charge-offs compared to the third quarter. With that, I'll turn it over to Steve.
Steve Shriner: We'll begin taking questions in just a moment. First, in order to accommodate as many of you as possible, I would ask that you limit yourself to one question and one follow-up. Operator, I think we are ready for the first question.
Operator: (Operator Instructions) The first question is from Brian Foran from Goldman Sachs.
Brian Foran - Goldman Sachs: You mentioned Florida home prices and that you expect them to continue to fall. How much further are you expecting and is the recent improvement Case-Shiller data just a head fake in your opinion?
Jim Wells: For our forecasting purposes, we generally use the Case-Shiller data, and so are expecting between 15% and 20% declines right now in the Florida market. That’s a really bad answer because there are five or six separate markets. Some of the northern and more central markets are showing much better performance with South Florida actually beginning to show some signs of improvement. We are seeing increasing home sales in Florida, and backlogs are reducing somewhat. However, the real answer is 15% to 20% is what's in our forecast.
Brian Foran - Goldman Sachs: And then on the NPA improvement, the dollars of NPA improvement, did you give or can you give a breakdown between inflows, pay downs, and any loans sales that happened in the quarter?
Jim Wells: We don't disclose those individual flows. We still had clear inflows. Our ability to balance with better outflows this quarter was actually fairly significant. One thing I can share with you is that we managed the business on a statistic which is basically homes or properties available for sale. So, during the quarter, we are able to get through in 90 days, about 75% of the available for sale inventory on a rolling basis. That has been a significantly improving statistic for us. It’s helping us as we get better flow through the foreclosure process, specifically in Florida for rapid disposition of the assets and making sure we don't hold them for long periods of time on the balance sheet.
Steve Shriner: Thanks, Brian. One other point, this is Steve. We did not conduct any bulk or large sales of nonperforming or ORE this quarter, so normal course of business inflows and outflows.
Operator: The next question is from Craig Siegenthaler from Credit Suisse.
Craig Siegenthaler - Credit Suisse: First just on the home equity portfolio. It’s looking like delinquencies are continuing to rise here. Can you talk about some of the drivers here? Any reason to think that this third quarter could have been the peak in home equity delinquencies? That was just my first question.
Jim Wells: None of us feel comfortable telling you that things have peeked or that the world is rapidly getting better. The drivers in delinquencies, primarily in the home equity portfolio, really people who are stuck in this long and stayed with it, these are primarily folks who have lost their jobs or have been hit by one of the three Ds in the foreclosure process, which is death, disease or divorce, and that’s primarily what drives the increase in delinquency. The unemployment stuff correlates very strongly to the default rates.
Craig Siegenthaler - Credit Suisse: Got it. Then we also saw that charge-offs came down in this bucket this quarter. Was it an unusual level in the second quarter? Is this kind of a good run rated for home equity or with rising delinquencies due to rising unemployment should we think this should go back up?
Jim Wells: What we saw was stability in the rolls in the buckets and slight improvement in the ability to go from the short-term to current to the longer term delinquencies. So, my first look at it is, we are getting stability in the roll rates, which is really accounting for the modification in the charge off rates.
Mark Chancy: On page 17 of our presentation we give you some data that non-accrual loans overall in the home equity portfolio were down in terms of percentage as well as the charge-off data. So, we give you a little bit of a breakdown there if you want to go through the individual components.
Craig Siegenthaler - Credit Suisse: Got it. I saw that. I just saw the delinquencies went up, too. But, yeah. Thank for answering my question.
Mark Chancy: You’ve got a denominator issue there too that you need to adjust for.
Operator: The next question is from Jefferson Harralson from KBW.
Jefferson Harralson - KBW: Thanks, guys. I wanted to ask a question on the performing, accruing TDRs. You mentioned it was better than the government numbers, but can you just talk about what percentage of these you think will go nonperforming overtime or what your experience has been with accruing TDRs?
Jim Wells: This is kind of a difficult area to talk about because there are no standards out there, and while we are working with not only the regulatory agencies to get transparency around this, there are four or five different measures, all of which are confusing as to term to re-default and what the default looks like and ever delinquent statistics. So, it's really difficult for us to quote you a set of numbers, but with each one of the statistics we find, we find that we are a little better than I think what the statistics show. We are also pretty aggressive when we do one of these restructures and making sure we qualify the borrowers to ensure they have enough money not only to meet their mortgage payments but to meet their other obligations and enough cash flow to live on. So, our recidivism rates I think are a little better than what the industry statistics show because our willingness just to do overall blanket restructures isn't very high. We really want to know what the clients are doing, what their income levels are, and making sure that we are doing something that's in everybody's best interest.
Jefferson Harralson - KBW: Can you talk about your restructuring efforts in commercial real estate? How successful you guys have been in getting additional collateral in exchange for additional [length] at maturity, or is that an effort you guys are actively doing?
Jim Wells: What we are doing in the commercial real estate book. There are two parts of the commercial real estate book. The first part of the commercial real estate book is really the homebuilders’ portfolio which we have been talking to you for five or six quarters now about our active efforts to mitigate the losses in that portfolio, work with the developers when it is possible and liquidate the assets as quickly as we possibly can. That is more of a liquidation mode around many of them. Although we do have a fairly large number of the developers that still have recurring cash flow and the capability to continue see this through we think for the next three or four years. So we have a workout group, a very large group of people working on that. In terms of the income producing portfolios, we regularly review all of the loans in the portfolio, their cash flows, their borrowers, what's going on in the portfolios, and we'll work through modifications, renewals, extensions, depending upon current restructuring activity, or what's going on within the marketplace. We are actively working the portfolio all the time. If you take a look at the delinquency and nonperforming statistics, you'll see that we have been pretty successful in continuing to work with our clients and avoiding the deep problem and I think Central City sort of activities you are seeing pop-up around the system at the moment.
Operator: The next question is from Terry McEvoy from Oppenheimer.
Terry McEvoy – Oppenheimer: Look at your slide 15, the breakdown of the commercial real estate portfolio. Could you maybe separate the owner-occupied from the investor-owned commercial real estate loans or nonperforming assets of around $302 million? I'm guessing there is more in that investor-owned bucket. The second part of that question is, geographically speaking does the Florida group contribute a greater share of those nonperforming loans?
Mark Chancy: In the investor-owned portfolio, I believe if you take a look at couple of the slides, you'll see what the delinquency rates are in the investor-owned portfolio, because the nonperformers are primarily comprised of the construction part of the portfolio, and so most of our delinquencies in this area really are coming in the investor-owned portion of the portfolio, but primarily in the homebuilder part of the portfolio. I think that was the first part of the question.
Steve Shriner: Terry, I think your question was focused particularly on the investor-owned commercial real estate line.
Terry McEvoy – Oppenheimer: That's correct.
Steve Shriner: We want to make sure we don't confuse you here. Construction is some place else.
Terry McEvoy – Oppenheimer: Yes, I was looking at slide 15.
Jim Wells: We haven't provided a public breakdown of the performer and nonperformer split. Off the top of my head, I don't have that information. I'll look around and I've got a couple of members of management teams here. If anybody has it, we'll provide it, but I don't know that number.
Mark Chancy: Yeah, the $300 million I would say in the portfolio, about $200 million dollars of it comes out of the income portion of the portfolio.
Jim Wells: The amount of stuff that's in Florida is not consequential and isn't showing to perform worse than the rest of the portfolios.
Operator: The next question is from Bob Patton from Morgan Keegan.
Bob Patton - Morgan Keegan: Most my questions have been asked. A real quick question on FDIC transactions. How do you think you guys are positioned relative to starting to look more progressively at the FDIC activity?
Jim Wells: This is Jim. We are fully capable and willing to assist when asked to do so. As I have said several times, our position basically is we don't feel the need to do that. Our organic growth is going nicely and our organic growth prospects are going nicely. It is frequently diverting, but should an occasion arise if we would be asked to be help, we would of course are going to do that.
Bob Patton - Morgan Keegan: Do you sense the activity is picking up in your market?
Jim Wells: In our market it has been picked up, I guess is the way I would describe that. You have the same statistics we do about the FDIC's list of problem institutions and those sorts of things. It is not really broken down geographically as far as I remember, anyway. But the reality is in troubled markets and we have some on our footprint, I would expect the activity to pick up, but there is no way to know that.
Bob Patton - Morgan Keegan: And then to Mark, are you going to hold the balance sheet stable or do you see continued shrinkage and sort of that run rate and what are the drivers?
Mark Chancy: As you saw during the course of the third quarter, we did increase the securities portfolio as the loan balances decline. We evaluate the addition of securities and other earning assets in regard to a number of factors as you expect. The interest rate sensitivity, our liquidity position, the overall duration of the balance sheet. We are also asset sensitive, but it currently has a view the fed is unlikely to increase rates in the near term and we are at a very strong liquidity position. With the decline in loans we have added to the portfolio and we are likely to do so in the near term. We have replaced some of the mortgage-backed securities that were sold at the end of the quarter, as I mentioned earlier here in the early part of October. We do think it's important to retain maximum flexibility with the securities that we purchase, and as a result, we have invested in low credit risks and highly liquid securities and you should expect that to continue.
Bob Patton - Morgan Keegan: What is the percentage of loans on floors at Sun Trust?
Jim Wells: You had your one and your two.
Operator: The next question is from Greg Ketron from Citigroup.
Greg Ketron - Citigroup: Thomas this question probably goes to you and I know you probably are getting tired of answering the credit questions, but in terms of reserve build, you had a decline this quarter. Is there any read-through or implications on that in terms of the underlying credit quality of the overall portfolio? Is this something we may see going forward, as you have seen early stage delinquencies stabilize NPL influence or the net NPLs were stabilized going forward?
Tom Freeman: The two components of losses, Greg, as you well know are frequency and severity. What we are seeing across many of the portfolio is the level of individual defaults, especially in the mortgage portfolios and on the retail side of the house is improving delinquencies in comps and dollars. The one mitigating factor for that is really what's going to go on in the housing markets, and specifically the largest housing market we have to be concerned with is Florida. The rest of our housing markets are showing stability, really the fallen value seem to have mitigated and some of them more in fact are showing increasing positive value growth within the market segments that we are struck with. The need to build because we are getting, increasing frequency of loss seems to be mitigating and really any need to grow at the moment, given what's going on in the marketplace, it could all change tomorrow, it has to do with making sure we've got a good handle on the severities.
Greg Ketron - Citigroup: If I can do a follow-up question on the mortgage repurchase reserve, is there any color you can give on the potential size of that or where you may be in that process in terms of needing to continue to recognize expenses associated with that?
Bill Rogers: Similar to what other companies are experiencing, but I think ours has been proportional and it is sort of all over the board. So, if you think June and July were sort of high, August was down; September was down, October sort of there. So, I think what you'll see is relative to the past, you know, a year ago, it will continue to be at some high levels, relative to this quarter. I think through the next few quarters in 2010, we should see this coming down as some of the earlier winnings sort of work their way through.
Operator: The next question is from Kevin Fitzsimmons from Sandler O'Neill.
Kevin Fitzsimmons - Sandler O'Neill: On slide 11, when you talk about credit related costs, the $215 million, I'm assuming the bulk of that is OREO expenses. Is that something you breakout anywhere just in terms of what to expect from a run rate would we expect that kind of pace going forward?
Steve Shriner: If you flip back to page 25 in the appendix where we breakdown the $215 million into one, two, three, five components, I think your answer is there. If I got the question right?
Kevin Fitzsimmons - Sandler O'Neill: It certainly is. Thank you very much. Just one additional one for Mark. The trading account write-downs, this is obviously an item that fluctuates quarter-to-quarter. Any sense based on what you are seeing today, how we should look at it? I know it’s tough to talk in terms of run rate for that line item, but how we should look at that going forward?
Mark Chancy: Kevin, if you go back to the end of 2007, we acquired about $3.5 billion worth of securities. We are down below $200 million at this point. Many of the residual securities during the course of the third quarter actually had modest write-ups, and so the risk associated with that trading portfolio has largely been recognized and we are managing through that residual portfolio. We also have the auction rate securities that we acquired back a little over a year ago. We have marked them appropriately at the time and we’ve had some modest write-ups since then. So, I think on balance, that's not one of the core risks to SunTrust as we move forward.
Steve Shriner: Kevin, this is Steve. If you think about the trading activity in the quarter, we were a little soft on equity derivatives and fixed income trading. So, it was a little softer than the last quarter in the trading line. It has had some volatility on an adjusted basis. It’s been probably $50 million, $60 million. Kind of each of the past couple of quarters and then trended down some, and that’s just kind of core client business activity. As you know, it is fairly hard to predict.
Kevin Fitzsimmons - Sandler O'Neill: Right. However, obviously in this quarter the big item was the debt, right, the debt write-down.
Jim Wells: Even after you adjust for that, you would still see that, what's left after the adjustments I gave you in the appendix, even after you do that, you'll see the trading was a little soft this quarter. It really was kind of core client activity.
Mark Chancy: A very strong trading activity in the SunTrust Robinson Humphrey on a year over year basis, but down sequentially coming off a record quarter in the second quarter.
Steve Shriner: Thank you, everybody. I appreciate your attendance at this morning's call.
Operator: That concludes today’s conference. You may disconnect at this time.